Operator: Greetings. And welcome to the Flowers Foods’ Fourth Quarter and Fiscal 2011 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Marta Jones Turner, Executive Vice President, Corporate Relations for Flowers Foods. Thank you, Ms. Jones Turner. You may begin.
Marta Jones Turner: Thanks Rob, and good morning, everyone. Thanks for joining our call today. Our fourth quarter and 2012 results were released late yesterday and of course, you’ll found the release posted on our website in case you need a copy. We do expect to file the 10-K on February the 24th and as a reminder, during the call today, we’ll be using a PowerPoint presentation to support our comments, and you can find that presentation on the webcast listen page. Of course, as we begin I must remind you that our presentation today may include forward-looking statements about our company’s performance. Although, we believe our segments to be reasonable, those segments are subject to risks and uncertainties that could cause actual results to differ materially. In addition to the matters we will discuss during the call, important factors relating to Flowers Foods business are detailed fully in our SEC filing. Before I turn it to George and the team I do want to announce to you that we’ve going to be hosting our Analyst Day in Philadelphia on Tuesday, March 20th and we’ll send more information about that next week, but I wanted to upfront ask you to mark that on your calendar. With us on the call today, we have George Deese, Flowers Foods’ Chairman and Chief Executive Officer; Allen Shiver, President; Steve Kinsey, Executive Vice President and Chief Financial Officer. As you know, we’ll answer -- we’ll open the call for your questions after our prepared remarks. Now, I’ll turn the call to Flowers Foods’ Chairman and CEO, George Deese.
George Deese: Thank you, Marta. Good morning to each of you and welcome to Flowers Foods’ fourth quarter conference call. As always, thank you for your continued interest. I’m pleased that we’ve delivered sales growth of 14% for the quarter and 7.8% for the full year. That is solid growth in light of marketplace and economic pressures, and it shows the strength of our DSD business, the Nature’s Own brand and our ability to grow in new markets and through acquisitions. On the earnings side, we did not clearly overcome the challenges of high input cost, commodity markets and consumers’ reaction to the weaker economy and food inflation. Our margins also impacted. Our team is managing through those difficult challenges to deliver future results in line with our long-term goals. You have heard me say it before that in business there are ups and downs quarter-to-quarter and sometimes year-to-year. However, over the long-term Flowers Foods has constantly consistently delivered growth in line with our goals. I have great confidence in our team’s ability to continue that trend. Flowers Foods’ future is promising. We are focused on our operations, the marketplace and on opportunities for growth. I will tell you more about that in a few minutes but I want you to know upfront that I have never been more confident in our company and the opportunities ahead. As we look back at 2011, it is important to note what we’ve accomplished. We invested $79 million to improve our production efficiencies, product quality and shipping logistics. We discontinued less efficient production, closing one bakery and several individual lines. As a result, we ended 2011 with our bakeries operating near-record levels of efficiency. In May, we acquired Tasty Baking and the iconic Tastykake brand. For the year, Tasty surpassed our sales expectations and also contributed slightly to earnings, not including acquisition cost. In September, we began introducing the Tastykake brand to Flowers’ core markets through our independent distributor system. Consumers are responding well to this introduction. Our DSD business achieved four consecutive quarters of improved volume trends in a tough marketplace. Our expansion markets continued to deliver growth within our goal of 0.5% to 1% of sales each year. New products also performed within our expected 3% to 5% of sales growth. Nature’s Own reached $935 million in retail sales, achieving its 34th consecutive year growth. Turning to the most challenging factors of 2011, I would first move onto volatile commodities and how that impacted our cost. Like many other food companies, we were hit with very high cost. We successfully implemented pricing in our DSD segment and volumes performed largely as expected given the ongoing price increases across the category. Still, the marketplace remains competitive, even though overall pricing has improved, promotional activities is at higher price points but still a factor, so consumers’ reaction to food inflation which has softened unit growth in the category. From a segment standpoint, our warehouse business which is 18% of our total sales had a tough year. It faced very high cost of flour, sugar, cocoa, shortening. We did not achieve the pricing we needed to offset those significant higher prices. We are keenly focused on this part of our business and we believe these margins can return to the levels warehouse has achieved in the past. Allen will talk more specifically about our plans. In the DSD segment, which is 82% of our total sales, I’m pleased to report that sales growth was above our long-term target. Though margins were pressured by high input cost, the fundamental strengths of our DSD business have not changed. On this morning’s call, we will address the questions we think are most important to investors. First, what is the outlook for commodity cost and will we take the additional pricing to offset the cost. Next, our higher price is causing a shift to store brand or is there price elasticity in the category. Third, we are pleased with the Tasty acquisition, are we pleased with the Tasty acquisition, and we are. Fourth, what happened in the Warehouse segment and should we expect margins to return to previous levels? Next, what about industry consolidation? Are there opportunities for Flowers and finally, what is the outlook for 2012? Before I pass the call to Steve, let me thank each of our team members for the tremendous efforts to working even more efficiently and effectively in the face of inflationary pressures and the economic challenges are impacting consumers. Now, Steve will give you more details on our results.
Steve Kinsey: Thank you, George, and good morning, everyone. Just a quick reminder before I go to financial information that the Tasty results are reported in the direct store delivery or DSD segment of the business. As George said, we did not fully overcome the challenges of high input costs, commodity markets and the continued weak economy. However, as our result show we had healthy sales gains in the quarter and our integration as George indicated is going well at Tasty and their results for the quarter and year was in the ranges we announced at the time of acquisition. Consolidated sales in the quarter were up 14%. The core business posted a 4.4% sales growth. The price mix contributed 3.8% to that growth, while volumes were up 0.6%. The Tasty Baking acquisition contributed 9.6% to the overall revenue growth in the quarter. Excluding Tasty Baking acquisition, overall growth in the DSD segment was strong growing at 5.8%. Growth in DSD excluding Tasty was driven by price mix of 3%, with a slightly negative mix shift. DSD volumes posted a strong gain in the quarter growing 2.8%. We were pleased to see DSD volume trends continue to improve in the fourth quarter. The DSD volume growth was driven by Nature’s Own soft variety, cake, store brands and growth in non-retail. Store brand growth came from new business from certain existing customers and a consumer shift in the store brands primarily white breads. The non-retail growth in the quarter was due to increased volume with existing and new fast food, and restaurant customers. Sales in the warehouse group were down slightly in the quarter, an increase in price mix of 4.3% was offset by volume declines of 4.8%. Overall, volume declines in the snack category did offset volume increases in the foodservice channel. Allen will provide more detail on the warehouse segment in just a moment. EBIT in the quarter was down $9.2 million or 20% from last year’s fourth quarter. DSD EBIT was down 8% quarter-over-quarter due primarily to higher input costs and warehouse EBIT declined approximately 65% in the quarter, primarily the result of higher input cost and lower volumes. On a full year basis, adjusted for the one-time costs, consolidated EBIT was down 2.7%. Earnings per share in the quarter was down $0.06 or 26% compared to the prior year, again the decline was primarily the result of higher input costs, softer warehouse volume and the inability to fully price to protect margins and offset cost. For the full year 2011 earnings per share on an adjusted basis of $0.96 was down $0.03 or 3% compared to 2010. The higher tax rate reflected earnings of a penny in the quarter and for the full year. Also during the quarter Tasty contributed $2 million to EBT and $1.4 million to EBT on a full year basis. Excluding any one-time cost, this was roughly $0.01 per share for the quarter and for the year. Consolidated gross margin in the quarter was down 220 basis points to 45.9%. This decline in the margin for the quarter was primarily the result of the higher input cost specifically ingredients and packaging. Excluding the impact of the Tasty acquisition, input cost which we define as ingredients, packaging and natural gas were up approximately 40% in the quarter with significant increases in flour, sweeteners, shortening, cocoa and packaging. In the quarter, Tasty had a positive impact on gross margin of 10 basis points. The DSD margin in the quarter was down 260 basis points to 50.6%. Tasty negatively impacted the DSD gross margin by approximately 30 basis points and the warehouse gross margin in the quarter was down 400 basis points to 23.7%. On a consolidated basis, the full year gross margin was down 80 basis points in line with the guidance we gave for the full year. Excluding Tasty, input costs for the full year were up approximately 6% and for the full year Tasty negatively impacted the gross margin 10 basis points. Selling, general and administrative costs in the quarter as a percent of sales were relatively flat year-over-year at 36.8%. Overall, selling, general and administrative dollar increases were driven primarily by higher selling and distribution cost. For the year, EBITDA was 10.2% of sales, down 110 basis points from last year. Adjusted for one-time cost, EBITDA was 10.6% of sales, which was down about 70 basis points from the prior year. And net interest income on the quarter was down quarter-over-quarter due primary to high interest expense resulting from the debt related to the Tasty Baking acquisition. Briefly commenting on the balance sheet and cash flow, cash flow from operations during the quarter did improve over the third quarter this year. However, compared to last year this quarter and year-to-date cash flow from operations was negatively impacted by hedge-margin and pension contributions. The pension contributions were primarily associated with the Tasty pension plan. During the quarter, we spent $14 million on capital expenditures and $20 million on dividends. We did not purchase any stock under our share repurchase plan during the fourth quarter. However, for the year we did repurchase 1.5 million shares for $27 million and we currently have 7.2 million shares authorized or available for repurchase under our current share repurchase authorization. We ended the year with approximately $326 million of debt on the balance sheet or roughly 1.1 times trailing our 12 month EBITDA. Overall, our philosophy for uses of cash remain intact, funding capital expenditures, returning cash to our shareholders through a strong dividend policy, share repurchases on an opportunistic basis and making strategic acquisitions. We believe the strength of our balance sheet allows us to meet these needs and gives us great flexibility to take advantage of acquisition opportunities as they present themselves. As we look ahead to 2012, we are confident in our ability to continue to grow the topline. In line with our long-term revenue targets, we’re forecasting revenue growth of 7% to 9%, excluding the impact of any future acquisitions. Our DSD segment will remain strong and Tasty as well with reaching the goals we established at the acquisition. As Allen will address in a moment, we are taking actions to get our warehouse business back on track. We are forecasting earnings per share growth of 7% to 12% as compared to the 2011 adjusted earnings per share of $0.96. Our cost continue to increase as we enter 2012 and we are forecasting on full year basis that input cost will be up 6% to 9% year-over-year, with the significant portion of those costs hitting in the first half. This is coming off of 6% increase in 2011. As you can see on the slide, gross margin is projected to be flat year-over-year, the tax rate should be roughly 35.5% on an annual basis and CapEx for 2012 is projected to be $65 million to $75 million. Finally, our 2012 performance does hedge on our ability to cover back half input cost at the values we have estimated in our projections. Now thank you and I’ll turn the call to Allen.
Allen Shiver: Good morning, and thank you, Steve. I’m proud of our team’s achievement of solid topline growth for 2011 and as Steve and George pointed out, our business is strong, it is getting even stronger as we begin 2012. You can basically sum up the challenges for 2011 this way. We had volatile commodity markets and high input costs, pricing issues in a small portion of our business and volumes were impacted in a few product categories. The year’s wins were the Tasty acquisition, achieving steady improvement in DSD volumes, continued growth for Nature’s Own, new business with foodservice customers and the strength of our new products and expansion market growth. For the quarter, excluding Tasty, Flower’s internal data shows total sales were up 40 basis points in units and up 440 basis points in dollars. We are well-positioned to manage the high cost in the first half of 2012 by continuing to grow sales at a robust rate and improve earnings through further efficiencies and cost controls. To get started, let’s take a look at the fresh bakery category, which is where our DSD segment continues. IRI data shows that the volume in the category was still sluggish, as consumers continued to use their food dollars carefully in light of the weak economy. For the category as a whole, we saw pricing increase due to higher input cost. In the quarter, IRI for the total U.S. showed a 5.7% increase in average price across the fresh packaged group category. In the South market, the category increased an average price by 5.2% or about $0.11 per unit. For the total fresh bakery categories, dollars were up 1.4% and units were down 4.1% based on IRI data for the total U.S. For the quarter and calendar 2011, the category as a whole continued to be relatively inelastic. However, it is important to note that certain segments of the category do show some shifts. For instance, white loaf bread volume was somewhat elastic while soft variety bread proved more resilient to price changes. Store brands in the category did showed some growth during the quarter, up 70 basis points in dollar share and 100 basis points in unit share. As you can see on the slide, the current levels are well within historical levels. IRI which captures only about half of our DSD segment’s retail branded bread sales or 24% of Flowers Foods’ total sales, shows that in the South market, our brands held a 22% share of dollars and 17.5% of share of units in the quarter. For the total U.S., Flowers’ dollar branded share was 7.6% and unit share was 6.6%. Our brands have performed largely as expected given our pricing actions over the past 18 months and the relatively soft category performance. You will remember that our Nature’s Own brand holds a strong position in the soft variety bread category. We continue to be pleased with the growth of Nature’s Own, as we pointed out in the release, Nature’s Own sales at retail reached $935 million in 2011, so we are closing in our goal of having Nature’s Own reached the $1 billion mark. Consumers continue to respond well to Nature’s Own as we entered new markets and offer new products. Our regional white breads trended down in the quarter along with overall market for white bread. Even so, our regional brands command a strong presence in local market and we are focusing on ways to enhance their performance through quality improvement and line extensions New products performed in line with our expectations and we have new products in the queue for 2012. We would tell you more about those as the year unfolds. New markets in our DSD segment are also performing well. Excluding Tasty, new markets contributed 0.76% of our fourth quarter DSD sales increase which is in line with our goal. Moving to foodservice, our total foodservice sales were up 5% for the quarter. That increase reflects some new business in both core and expansion markets. From a same-store sales standpoint, our foodservice customers continued to experience relatively flat performance. Turning to the acquisition, George mentioned that our Tasty acquisition surpassed our sales and earnings goal for the year. I want to thank our entire team for the work that has been done to pull Tasty into our company, capitalizing synergies and grow Tasty -- grow the Tasty brand. We are beginning to leverage manufacturing synergies between our legacy Flowers’ plants and Tasty’s operations. We expect the Tasty integration to be complete by mid-year. We are pleased with consumers’ response to the Tastykake brand in our markets throughout the South. Just last week, our independent distributors in Texas started offering Tastykakes on their routes. Tastykakes are now available on more than 75% of our total Flowers and Tasty routes. We are confident that as we build consumer acceptance and expand distribution of the Tastykake brand, our share of the $4.3 billion fresh cake category will continue to grow. Also, we are completing our plans to introduce Nature’s Own and other bread products in the Tasty’s core market in the Northeast corridor. Both of these opportunities Tastykake and Flowers markets, and Nature’s Own and Tasty’s territory offer significant growth potential. Over time, we expect to gain consumer acceptance and increase market share in our new markets for Tastykake and Nature’s Own. Turning to the warehouse segment, as George and Steve discussed, sales and margins continue to be challenged. Dramatically higher input costs, weakness in volume and difficulty in implementing adequate pricing combined significantly to impact the performance in this segment in the quarter and for the year. Our team is focused on moving the warehouse segment back in line with historical measures. We’re focused on reducing input costs while improving both volume and pricing. In past calls we’ve mentioned new store brand and snack cake business with several customers that was to be added in several places. As we began 2012, all phases are in place, volume for some of that business is tracking a bit lower than was originally projected. However, we are working closely with our customers to improve the retail sell-through and overall we’re pleased with this incremental business. Rest assured, we understand what we must do in warehouse segment. Our goal is to return to the higher margins this business has achieved in the past. We’re making solid strategic moves that will help us to that overtime. Looking at Flour Foods as a whole, George mentioned our improved efficiency levels as we rationalize manufacturing capacity and invested in improved technology. Throughout the company, every department and every team member has been charged with finding ways to do things better and more cost efficiently. It is in our DNA at Flowers Foods to constantly improve our business from every aspect and we continue those efforts today. Steve gave the specifics of our incremental input costs for 2012. For the most part, we have responded with pricing actions in 2011 and in recent weeks. Our efforts to reduce costs and improve efficiencies also should help offset higher cost in first half. As we look further ahead in mid-2012, we will consider whether additional price adjustments are needed. To summarize, we are managing through near-term challenges by staying true to our operating strategies. At the same time, we are looking ahead, evaluating potential growth opportunities and planning for the future. Our operations and our brands are strong and our team is the most experienced and the most dedicated in the industry Thank you for your attention. I’ll now turn the call back to George.
George Deese: Thank you, Allen and Steve for the update. In spite of challenges we faced in 2011 and those we faced in first half of 2012, I’m extremely confident in the future of Flowers Foods. This year, our team is focused on achieving even greater operational excellence and market execution, 2012 also will be a year of significant opportunities for growth. Our operation is already strong and many say, our bakeries are the best in the industry. Our team realizes that with volatile input costs and competitive pressures, we simply must have our operations perform even better. This year, we will continue our efforts to improve productivity, reduce waste, control cost by further enhancing the quality of our products. As Allen mentioned, the Flowers’ way is to have every team member participate in such efforts. In fact, ideas for improvement often comes from the individual involved directly in the process and our team atmosphere encourages that input. From a marketplace standpoint, we have by necessity been managing through pricing actions and maintaining volume in a tough competitive environment. This year we will focus on giving our breads great exposure, offering the best quality products, introducing new products, delivering exceptional customer service and renewing our efforts to have the right products at the right location at the right time. Flowers Foods is a strong and number two player in this category. Our brands are well known and growing in core markets, in the South and the Southwest. This year we expect to extend our reach into new markets through expansion and acquisitions. Our growth strategy as you know is three pronged. We focus on growth opportunities in our core markets. We expand our DSD footprints in adjacent markets and make strategic acquisitions. 2012 is the year when Flowers Foods has the opportunity to take advantage of all three avenues of growth, more so than we have in the past. The long awaited consolidation of the industry is upon us. There are now four major companies, along with a small number of regional companies focused on the fresh foods category. We are always interested in acquisitions that expand our geographic reach and help us to reach our long-term goals. You know that we are keenly aware that the industry consolidation will bring acquisition opportunities. We made more than 100 acquisitions since listing publicly in 1968 and we expect to have acquisitions play an important part of our growth in the future. Steve gave you guidance for 2012. We have full confidence in those numbers. All our team is managing through near-term challenge and circumstances. We are focusing on further improvement, improving our operations, our access to market and our customer base. It is important to point out that our long-term strategy is to manage costs, have the right operations and distribution model, the most efficient bakeries and the best team in the industry puts Flowers Foods in a very strong position in the marketplace. At the same time, our sights are clearly set on the long-term opportunities to expand the reach of our brands and in doing so achieve sales and earnings growth in line with our goal as we build value for our shareholders. Rob, now we will take -- open the call for questions.
Operator: Thank you. (Operator Instructions) Thank you. Our first question is from the line of Farha Aslam with Stephens Incorporated. Please state your question.
Farha Aslam – Stephens Incorporated: Hi. Good morning.
George Deese: Good morning.
Farha Aslam – Stephens Incorporated: First question is about your core operations. George, do you feel like at this point you have pricing in place to offset the commodity costs that you’re going to experience in the first half of the year?
George Deese: On the DSD side of our business we feel very confident about our core market and pricing that Allen mentioned that came into play in the fourth quarter. And we are confident in all that is in our guidance for the year that it is all inclusive. On the warehouse side, as Allen also stated, that’s a work in process.
Farha Aslam – Stephens Incorporated: Okay.
George Deese: We’re still not where we want to be but continuing that effort.
Farha Aslam – Stephens Incorporated: Okay. That’s okay. And then in 2004 when IBC went into bankruptcy, Flowers benefitted from a flight to quality with investors or customers looking for really solid balance sheets in terms of suppliers. Have you benefitted from any customers coming to Flowers because of your strength in the market?
George Deese: Farha, I would say, not -- I won’t comment on that specifically, what I would say, looking back to 2004, if you remember, post to they’re going bankruptcy, if you remember, there were some plants closed in that process, Sara Lee also was closing some plants along that same time. Our margin did jump up here in that timeframe, we did gain business and that’s a good time during that time period.
Farha Aslam – Stephens Incorporated: Okay. And is there anything that should be different this time around?
George Deese: I can’t predict that. We’re just staying focus on our business and really executing with our customer and staying close to them, and trying to build this consumer franchise with Nature’s Own and our Tastykake, as well as our local white bread brands.
Farha Aslam – Stephens Incorporated: Okay.
George Deese: We are really excited about that.
Farha Aslam – Stephens Incorporated: Okay. And then, you mentioned that, you’re looking at acquisition opportunity. You’ve been looking sort of for the last year and haven’t really decided to pull the trigger. Could you share with us what were the factors that made you wait for the right opportunity and how you would frame the opportunities in front of Flowers right now?
George Deese: Well, Farha, I would remind you that we had one of our bigger acquisitions by acquiring Tastykake back in June, $220 million, $225 million in sales. I think we’ve predicted and would be very accretive to the company going forward and we are excited about that. So we did pull the trigger last in 2011, not necessarily in the core bread business. But as I said, there have to be circumstances sometime to create that opportunity and even though we stay close to all potential candidates, things have to be around assets that can be based on succession plan and that can be based on new capital needed for the business. It can also be true because of the consolidation in the industry and some people not willing to cash out so to speak. So we’re involved in the process and we also mentioned the new tax rate that could change at the end of 2012. So, we are optimistic and our plan is in the order and we have little going. So we feel the time is right for that to happen.
Farha Aslam – Stephens Incorporated: All right. Thank you very much.
George Deese: Thank you.
Operator: Thank you. Our next question is from the line of Mitch Pinheiro with Janney Montgomery Scott. Please proceed with your question.
Mitch Pinheiro – Janney Montgomery Scott: Yeah. Hey. Good morning, everyone.
George Deese: Good morning, Mitch.
Mitch Pinheiro – Janney Montgomery Scott: So in the fiscal ‘12 sales guidance, how much of that and I apologize, if you’ve already said it, but how much of that is Tasty Baking?
Steve Kinsey: Mitch, this is Steve. We didn’t say on the call, but it’s 3% to 4%, it is really in line with the guidance that we gave when we made the acquisition announcement.
Mitch Pinheiro – Janney Montgomery Scott: Okay.
Steve Kinsey: Which was I think roughly $210 million to $225 million on an annualized basis.
Mitch Pinheiro – Janney Montgomery Scott: Right. In terms of routes, I think Allen or, I forgot who said, but you are on 75% of all the routes have Tasty product. How many, if you could just share, I think you had said 2,200 routes, Flowers routes had that, is that still the right number?
Allen Shiver: We are over 3,000 now, Mitch, and like I said, we just introduced Tasty on the routes in Texas this last week. And just a lot of excitement from our distributors about having a brand like Tastykake and we are looking for big things.
Mitch Pinheiro – Janney Montgomery Scott: Yeah. I mean, I -- but what’s interesting is, you’re on 3,000 routes but when I visited some stores in your core markets, not every retailer has the product yet. So, if you look at your 3,000 routes, like what percentage of your customers are, have the Tasty product on the route now or in their stores, excuse me?
Allen Shiver: Mitch, I can get that number for you but, we are having success in the supermarket channel, getting distribution on Tastykake. We’re working hard in the other channels such as convenient stores and let say, it’s a work in process. In Tasty’s core markets they do a wonderful job penetrating all channels and that is our goal as we roll out across the rest of the company but it is just going to take some time.
George Deese: Yeah. Mitch, I’d also point out and we said many times, a lot of the supermarkets have, what they call resets, refresh their categories and shelf space.
Mitch Pinheiro – Janney Montgomery Scott: Right.
George Deese: And each one of those do that on different timeframe, so if you look at certain accounts and it is not in, it is not that we were turned down, in fact we feel -- I feel 100% confident that we’ll have Tastykake in all of our major supermarket chains. But its timing based on resets and refreshes to the category.
Mitch Pinheiro – Janney Montgomery Scott: Yeah. I mean it sounds like that at as you grow your routes, I mean, there is also, there should be some meaningful sort of same-store sales growth going throughout?
George Deese: Sure. That is true.
Mitch Pinheiro – Janney Montgomery Scott: Now and knowing the Tasty Baking facility, I guess which we’ll get to see in March 20th at your Analyst Day, that facility, probably is operating at 50% capacity. So, as you add volume in the Tasty routes on, excuse me, Tasty volume on your routes. I mean, that’s got to have a pretty strong incremental margin, contribution margin, is that fair to say?
George Deese: I think you’re correct with that.
Mitch Pinheiro – Janney Montgomery Scott: So it -- so...
George Deese: And we will talk more about that at our Analyst Day and we’ll lay that out better. But it goes back to when we announced Tasty joining our company, we were optimistic then we’re even more optimistic today about what it does for the company And naturally as you put more volume in there, they will put the overhead factors changes in a good way. And but it will – I anxiously want to show it to all the analyst and get a -- so get a better feel for what we think the values are to the shareholders going forward.
Mitch Pinheiro – Janney Montgomery Scott: Okay. Just, okay. Thank you. One other question. On the warehouse side, so are you saying, you say it’s work in progress, is that a work in progress on pricing initiatives, you still -- we’re going to still see further pricing initiatives there or is it getting the business mix right? Is that part of it as well?
Allen Shiver: Yeah. No. Mitch, it’s all of the above. We are working on additional pricing. We mentioned that we were not successful getting the pricing we needed last year. We continue to work on improvements there. At the same time, we have really a very tight focus on growing the topline and a lot of encouragement about some good things that we’ve got working to grow sales, so I would really say it’s all the above.
Mitch Pinheiro – Janney Montgomery Scott: When I look, I mean, I picked up a box of Mrs. Freshley’s, the Pecan Twirls and it turns out that in the club channel, you get these for like $0.20 a piece, I’m talking, per Pecan Twirls. It seems like an awfully low price. I mean, this seems like you have the lot more pricing power there through the product quality that you’re delivering? And is it a function of, I mean, I don’t see it, but it is a function of some competition offering lower prices or trying to fit the retailer’s pricing structure or consumers not reacting the prices above that low level?
Allen Shiver: Mitch, I would say that it is a competitive situation. The example that you gave, we are competing with some strong independent bakers in that particular segment. And I would say, it’s more of a competitive factor to get distribution than it is consumer factor. We’re -- we see Tastykake doing a very good job in the club channel, selling at prices that are in our opinion where they need to be. So competitive factor on the front-end to get distribution but once distribution is in place then the product will carry a higher price. And I think your observation is right on target.
Mitch Pinheiro – Janney Montgomery Scott: Okay. Thank you very much for your time.
George Deese: Thanks Mitch.
Operator: Thank you. Our next question is from the line of Eric Katzman of Deutsche Bank. Please proceed with your question.
Eric Katzman – Deutsche Bank: Hi. Good morning, everybody.
George Deese: Good morning, Eric.
Eric Katzman – Deutsche Bank: I just kind of following up a little bit on Mitch’s question, the snack cake business, I guess within warehouse is a couple of $100 million and then you add in Tasty, so let’s say that your total, maybe I don’t know, total snack operations or I don’t know, $5 million, $6 million, $700 million, whatever the number is, but relative to $4.3 billion, your market share in snack cakes is, I don’t know what you estimated that at 10%, 15% of the market? I mean, isn’t that really the issue here, when it was, it’s okay for a while before the low-end to middle end -- middle income consumer rolled over. But isn’t it, the tide has kind of gone out and the fact that your shares relatively low in that category. Isn’t that like ultimately the issue here George and Allen?
George Deese: Yeah. Eric, we definitely think that we know more than our share is too low. We know we needed the brand and that’s why we are so optimistic that we now have a brand that we think has a lot of legs to help us to grow that market share. So, it’s really, we see Tastykake being the ultimate brand along with BlueBird and Freshley’s to a lesser degree and again it’s about markets segmentation, one items going in which brand. But you will see -- you continue to see us fine-tune that, even our distributors, the good selling proposition and we think pricing -- we ought to see it on Tastykake, the brand is taking a very good price. The consumer does accept it. So we got to get the other products inline, as well as get further distribution to improve the market share.
Eric Katzman – Deutsche Bank: Okay. And then, the -- just to switch up to the, just kind of the numbers in the first, I know you don’t necessarily like to talk quarters. But last year first quarter was actually pretty strong. You kind of signaled that snack cakes isn’t going to recover quickly and the input cost it sounds like at least at this point most of the or a lot of that input cost pressure on the 6% to 9% is first half. So, is that basically, we should be pretty cautious on numbers first half, is that kind of how you are thinking the year unfolds?
Allen Shiver: You’re right, we don’t give quarterly guidance, but I will say that, last year, especially first quarter of last year, that’s hindsight so I can say it, we had very good input cost for the first quarter. First half was good and the back half has been driven more, as Steve has indicated by higher input costs, especially in the fourth quarter. And we have said repeatedly in the third and fourth quarter that we will have headwinds fourth quarter and first half. We are looking at the back half very carefully. We do have some coverage. We are seeing wheat particularly beginning to drift down some for that back half, but we are optimistic and that’s how we came out with our guidance. We don’t do quarterly guidance. But you are right the first part of the year will be more difficult than the back half. Steve, you want to follow-up on any comments?
Steve Kinsey: Yeah. Looking at the first half just from kind of a trend perspective on the cost, looking at it right, if you look that our projections for next year, the first half is the toughest and I would say first and second quarter is very similar probably to the third and fourth quarter from a dramatic cost increase perspective.
Eric Katzman – Deutsche Bank: Got you. And then just quickly last question. George, you referenced tax rate at the end of 2012, were you referring to capital gains, what a privately held company may consider doing, is that what you were -- you weren’t talking about your tax rate?
George Deese: No. What I was talking about was the capital gains rate might change for…
Eric Katzman – Deutsche Bank: For everybody.
George Deese: Yeah.
Eric Katzman – Deutsche Bank: Okay.
George Deese: Correct.
Eric Katzman – Deutsche Bank: Okay. I’ll pass it on. Thank you.
George Deese: Thank you.
Operator: Thank you. Our next question is from the line of Heather Jones, BB&T Capital Markets. Please proceed with your question.
Heather Jones – BB&T Capital Markets: Good morning.
George Deese: Good morning, Heather.
Heather Jones – BB&T Capital Markets: Hi. Sticking with the input costs, your former guidance had been, I think up 4% to 8% and now you raised it. Just wondering because like you said, you have seen some pullback in a -- a little bit of a pullback in wheat and natural gas, and just wondering what’s driving that higher number?
Allen Shiver: Well, back in November, I guess, when we gave guidance, we had certain coverage of the books and certain coverage targets, and obviously, since then we’ve taken some more coverage. So based on where we stand today from a coverage perspective and what’s left in our targeted prices to cover at kind of drove the increase and narrowing the range.
Heather Jones – BB&T Capital Markets: And what is driving it, because I was thinking nat gas and even maybe cocoa, I would assume, those are going to be down year-on-year, so is it flour and sweeteners?
Allen Shiver: Yeah. A big part of that would be the flour cost, the sweeteners and the shortening.
Heather Jones – BB&T Capital Markets: Okay. Okay. And do you -- based upon, I know thing can change, but based upon your visibility now, would you expect cost in the second half is still be even up year-over-year or if you give us a sense of that?
Allen Shiver: Yeah. The back half, right now in the projection it could be flat to either slightly up or slightly down, it just depends on where we end up.
Heather Jones – BB&T Capital Markets: So this, okay. So this 5% to 9%, I think I’m remembering correctly, so basically that’s very heavily frontend loaded?
Allen Shiver: Yeah.
Heather Jones – BB&T Capital Markets: Okay. Going onto your -- pushing into the Northeast, my understanding as far as the divestitures related to Bimbo Sara Lee acquisition was that the divestitures in Pennsylvania or just say the Mid-Atlantic area are going to be fairly small? So I was just wondering if you could give us some sense as far as pushing in Mid-Atlantic, are you thinking more like adding capacity to the existing Tasty facility or just if you could give us sense of where the capacity will come from?
Allen Shiver: Yeah. Good point. We’re focused on getting through that market and it will be either through added capacity which we’re looking at as we speak off again through an acquisition.
Heather Jones – BB&T Capital Markets: Okay. But is it fair, am I interpreting correctly that the assets available from the Bimbo side are not that large?
Allen Shiver: What’s available, as we read it, is not that large in Pennsylvania, is that the question?
Heather Jones – BB&T Capital Markets: Yeah.
Allen Shiver: We sort of read it the same way.
Heather Jones – BB&T Capital Markets: Okay. And then finally, I mean a big component of your story are acquisitions and given the Hostess bankruptcy, given the Sara Lee divestitures, lot of speculation as far as you guys looking at acquisitions. I’m wondering if you could give us a sense of, I mean, how big is too big because typically? I mean if I remember correctly, Tasty is the biggest acquisition you’ve ever done and you’ve seen, you’ve got more of a conservative event, so my take is that you are not going out there and do $500 billion acquisitions, but just wonder if you could give us a sense of like how big is too big for you guys?
Allen Shiver: Well, I’ll say it this way and maybe that will answer that, I can’t get into too specifics, but I’ll -- we are not looking anything transformational.
Heather Jones – BB&T Capital Markets: Okay.
Allen Shiver: We say that we’re not looking to transformational change. There will continue to be certain brand. There will continue be certain plans, certain companies around the country.
Heather Jones – BB&T Capital Markets: Okay. All right. Thank you so much.
Allen Shiver: Thank you.
Operator: Our next question is from the line of Tim Ramey of D.A. Davidson. Please state your question.
Tim Ramey – D.A. Davidson: Good morning. Thanks.
George Deese: Good morning, Tim.
Tim Ramey – D.A. Davidson: George, I think you started the call by talking about solid growth in the year. But I was actually a little bit disappointing, I think originally you gave guidance of 3% to 6% for the year and ex-Tasty you were about 2.8% on 3.7% price and volume down and of course, earnings were down. So it didn’t seem like solid growth, well, what the…
George Deese: Tim, I would say as we look at the food industry, if you look at the bakery industry, if you look at -- anybody going into the supermarkets or whatever store they frequent. There has been a lot of flat business and down trends. So, yeah, I’m overjoyed that we did show some growth.
Tim Ramey – D.A. Davidson: So, relative it was, okay?
George Deese: Sure.
Tim Ramey – D.A. Davidson: Okay.
Steve Kinsey: Also, Tim, I would just point out in March as you recall, the way we set our long-term target, the 5% to 10% including acquisitions and that was 3% to 5% core growth and 2% to 5% acquisition growth so…
Tim Ramey – D.A. Davidson: Got you. One of the things I have struggled with is, there is only -- there is X amount of space on a truck and of course when you put Tasty on the truck something else has to come off. What’s coming off and what gives you the confidence that Tasty is better than what’s coming off because it wasn’t such a good franchise at least in its core markets?
Allen Shiver: Yeah. Tim, this is Allen. I would disagree that when you add Tasty that something has to come off the truck. I mean, that’s not correct. I have always said that the most profitable additional sales that we can get are in the accounts we are already serving and that is exactly what is happening in a lot of cases. Our distributors are basically adding Tasty to the products that they are selling to existing customers. If you look at the footprint that the Tasty products take on a typical route truck, it doesn’t take that much floor space, so just physically in terms of logistics Tasty fits very nicely in our existing, independent distributor model. And I think the bigger point is that our distributors are excited to have a brand like Tasty. Our retail customers are excited about the Tasty brand and it has really been a winning situation so far.
George Deese: Tim, I’ll back upon what Allen says, particular on our independent distributors and the business model that we have, we truly think is a competitive advantage. These are independent business guys who and that is why we went there, so that we could over years gain volume because they are after the business and this is just one more tool in their basket that we got to deal with.
Tim Ramey – D.A. Davidson: Got you.
George Deese: Grow it.
Tim Ramey – D.A. Davidson: And just one more on the SG&A outlook and report, always concerned about the impact of diesel prices and distributors and how that kind of I know that’s directly borne by them, but it sort of flows through your P&L one way or another. How do you think about that for ‘12?
George Deese: I’ll let Steve follow-up on it looking at overall costing. But I would say though that with our business model and that’s why our guys are so interested in growing their business, they do bore the cost of fuel. When you say our diesel and you talk about diesel thus far.
Tim Ramey – D.A. Davidson: Okay.
George Deese: And we also contract out our long-haul plant-to-plant, plant-to-warehouse. There are some contractual things that you do on the diesel fuel packs and so forth for that part of business. But again this is why we love our business model and that’s why we must gain sales, so that that’s where the cost is really called up and as distributor gain sales and helped them cover their input cost.
Tim Ramey – D.A. Davidson: Got you. Okay. Thank you.
George Deese: Thank you.
Operator: Thank you. Our next question is from the line of Akshay Jagdale with KeyBanc Capital Markets. Please proceed with question.
Akshay Jagdale – KeyBanc Capital Markets: Good morning.
George Deese: Good morning, Akshay.
Akshay Jagdale – KeyBanc Capital Markets: Hi. I wanted to on Tasty just one clarification, the Tasty flows only through your DSD segment and that’s going to be the case going forward as well, correct?
Allen Shiver: Yeah. That is correct.
Akshay Jagdale – KeyBanc Capital Markets: Okay. So, when you’ve been saying that you’re more positive on Tasty since you bought it, but as far as I know you didn’t change the accretion items, is that correct?
George Deese: That is correct for that, yeah.
Akshay Jagdale – KeyBanc Capital Markets: So can you help me with that, so what you are more positive, but not positive enough to say it’s going to be more accretive. So what’s stopping you there?
George Deese: Well, I’m more positive because we see that our customers will accept it in the stores as they reset. I mentioned that earlier, as you refresh the category inside of the particular supermarket that have different times through the year. But again, we set synergy goals. We set goals for ‘11, ‘12, ‘13, ‘14 and so forth. And actually look forward to see Philadelphia and great products and the people, how they do, great job they do. And I think you’ve recognized seeing the store in that market what is capable of happening throughout the company and that’s why I feel more positive that our customers do -- are accepting the product and the consumers are getting use of the product in this market and we think is acceptable. That’s what I mean by more positive. No. We didn’t and see…
Allen Shiver: When you look…
George Deese: … when you look at the accretion that we gave on our original acquisition, Akshay, yeah, there are some cost increases primarily in the cocoa, sugar and oil categories for Tasty as well, snack cake business, so some of that plays into the overall accretion equation as well.
Akshay Jagdale – KeyBanc Capital Markets: Okay. That’s great. And then, just following up, I mean, when you look at 2011 and maybe I was expecting going in, I thought your DSD business would actually have a little bit more trouble and it did. So, I mean, thus far you are showing, I think you reported close to 10% EBIT growth in DSD. But in the warehouse segment, it was well below our expected, right. So to me it looks like there is a big problem with warehouse. I’m still not clear as to what you are exactly planning to do there to pick that business and how long it will take? But, before you answer that what is your -- in terms of your guidance for next year, EPS growth 11% to 12%, I’m assuming EBIT growth is similar, what is your expectation, let’s say by division, right, just roughly in terms of growth? I’m assuming you’re going to be at the high-end of that for DSD and I’m not sure what your growth expectations are for warehouse. Do you expect warehouse profits to grow next year?
George Deese: Akshay, what we said and we do not break out in advance. We do give it you in the rear zone what each business units does, but you are correct in saying that DSD is performing well. I said that also in my comments I think Allen did to as well. We are real pleased with DSD and where it’s going. We did say that we had some issues on pricing and the volume expectations are not going to be as strong as we thought it would. But that’s not we’ll give up. We know the challenges and as Allen said, he’s focused on and his team’s is focused on any correction that is going on and is work in progress. We’ve said that in the third and fourth quarter as well last year. But we won’t give you a timetable but we expect to get back to the levels that we’ve always enjoyed with margins in that particular unit.
Akshay Jagdale – KeyBanc Capital Markets: Okay. And so, if I just, can you just frame 2011, just the warehouse performance relative to the past. I mean you haven’t seen a double-digit decline in gross profit at least in the model I have and the history that I have for last 10 years. So can you just frame what was the main driver of that, is it just competitive purely, is it, some -- I just wanted to get a sense of order of magnitude of the variable that drove that decline, right, so the profitability came down significantly?
George Deese: Yeah. I’ll try to take a stab at it and Allen or Steve can jump in. I think the number one problem in 2011 with warehouse was input cost. I will tell you, number two, right behind that would be the competitive factor in that type of business. It’s not a DSD model, DSD relate to people’s warehouses and they take distribution off it and take care of it either to the restaurants or back to the supermarket. So, it is a tougher competitive environment than we’ve seen in recent history in that particular business. So, high input costs, higher than expected tough environment and volumes did not come through like we thought volumes would in part of the warehouse business. So, it’s three issues in my mind. As far as the bakeries, we are right on track. The bakeries are running well. There is not an -- called an operational problem with bakeries, it comes down to input cost, competition and volume, and they are three pretty tough things and each one of them are truly important to the health of this business and getting it back where it needs to be.
Akshay Jagdale – KeyBanc Capital Markets: Okay.
George Deese: And that’s why, you got to work on the input costs, we got to continue give the price and get the margins we need in that business, and we have great products and we just have to keep working on the volume side of it.
Akshay Jagdale – KeyBanc Capital Markets: One last one on acquisitions, when you think of what’s happening with IBC or Hostess, is the best case scenario part of that that capacity comes out of the industry. I mean, I believe that that’s the best case if you want excess capacity to come out rather than somebody to buy it, correct?
George Deese: I wouldn’t comment on that or speculate on it. All I’m -- based on past history we’ve seen capacity come out the market under some of these circumstances.
Akshay Jagdale – KeyBanc Capital Markets: Okay. Great. I’ll pass on. Thank you.
George Deese: Thank you.
Operator: Our next question is from the line of Amit Sharma of BMO Capital Markets. Please proceed with your question.
Amit Sharma – BMO Capital Markets: Hi. Good morning, everyone.
George Deese: Good morning.
Amit Sharma – BMO Capital Markets: Steve, have you given sales mix in the quarter, what was the sales mix, I suppose negative, but have you given the degree of sales mix contribution?
Steve Kinsey: No. We didn’t breakout mix separately. It was slightly negative on a consolidated basis.
Amit Sharma – BMO Capital Markets: And it’s unreasonable to assume that will be negative for 2012 as well?
Steve Kinsey: Well, looking at ‘12, we have -- I can give you the components of our price, our sales guidance, price mix is roughly 3% to 4%, we don’t breakout mix separate. Volume will be flat to slightly up and Tasty 3% to 4%. So that’s how we get to the 7% to 9%.
Amit Sharma – BMO Capital Markets: Okay.
Steve Kinsey: With new products and hopefully getting Tasty into our DSD routes which carry a premium price, we hope we can do some positive mix shift.
Amit Sharma – BMO Capital Markets: Okay. And the DSD volumes up 2.8% in the quarter despite taking plenty of pricing, Allen, is that sustainable going forward especially as you take similar magnitude of pricing in the first half?
Allen Shiver: Yeah. I think it is sustainable, in fact, as I have said earlier, our DSD business really in my opinion is extremely strong and looking at numbers as we’ve entered the New Year that strength continues. So, I believe that it is sustainable.
Amit Sharma – BMO Capital Markets: And looking at the warehouse business, other than the last 2009 and ‘10 longer term average, EBIT average, EBIT margin average for that business is like 5.5%, which is where 2011 was. Is it possible that you will over earn in 2009 and ‘10, and the sustainable margin structure in this business is really in just mid single digits?
Allen Shiver: We had a hard time hearing you, there is a crackle in the phone. I think that what you said was EBITDA margins have been stronger. They have been weaker further back. We think where we have to get back to is the high point, not the low point and that’s why we are working toward, not back where they were five years ago but where they were two years ago.
Amit Sharma – BMO Capital Markets: Okay. So sustainable -- EBIT margins for this business?
Steve Kinsey: Yeah. I think your question was did you say is warehouse the 2011 margin, is that really truly the margin for that business, did we over earn in 2009 and ‘10?
Amit Sharma – BMO Capital Markets: That’s right.
Steve Kinsey: We would not agree with that assessment.
Amit Sharma – BMO Capital Markets: Okay. That’s good. And then finally, private label sales mix negative for you, one of the reasons is private label sales are increasing. Do you think your private label sales are increasing faster than the overall category or is it in line?
Allen Shiver: Our private label, our sales were up based on new business that we’ve acquired over the past year. If you look at same private label sales year-over-year, we are in line with what the category is doing. But any significant growth we are showing in private label is basically new business.
Amit Sharma – BMO Capital Markets: Got it. Thank you very much.
George Deese: Thank you.
Operator: Thank you. (Operator Instructions) Our next question is from David Leibowitz of Horizon Kinetics. Please proceed with your question.
David Leibowitz – Horizon Kinetics: Good morning.
George Deese: Good morning, Dave.
David Leibowitz – Horizon Kinetics: Few things, one, how much hedging are you doing on raw materials this year versus the year ago?
George Deese: I don’t think we have said in years, but what we’ve said historically is, we believe in six to nine months it’s been our philosophy. We’ve said also that as times change and because volatility, we might be a little more cautious on that idea, but we still believe in the six to nine months and we’d revise if we change otherwise.
David Leibowitz – Horizon Kinetics: And what about the prices which you have hedged, could you share that with us?
George Deese: Dave, you ask too much. We don’t. I’m sorry.
David Leibowitz – Horizon Kinetics: Okay. The intentions are honorable?
George Deese: (Inaudible) so what we did say David is, I’m sure you’ve heard what the first half of 2012 was a very tough half for us from a comp perspective year-over-year based on our commodity costs.
David Leibowitz – Horizon Kinetics: Getting back to Tasty for a moment, I’m sorry.
George Deese: And also, we did say that we had a very good first quarter input cost last year, so year-over-year is the issue. Our cost compared to the marketplace is not that much different probably from a lot of peoples – lot of companies.
David Leibowitz – Horizon Kinetics: And looking at Tasty, how many of their routes have now been sold to the driver?
George Deese: On the Tasty side?
David Leibowitz – Horizon Kinetics: Yeah.
George Deese: They have been independent distributors, Dave, probably the early ‘80s. They operate like Flowers does and that all of them are independent distributors. New territories that they’ve gone into, they also have prospective distributors knowing that they will own their territories at some point date into future, very similar to what Flowers does.
David Leibowitz – Horizon Kinetics: And looking at the products that are produced, both at Tasty and Flowers when there is overlap, are you using the Tasty brand or they’re using some of your own brands as well?
George Deese: Dave, that’s a work in progress and we’ve got an ongoing strategy looking at -- make sure we maximize productivity and we maximize the quality of the Tasty brands. So there is not a lot of interchange yet between the plants. But it is a synergy that we will be addressing. We’ve already addressed it and it’s a work in progress. But not in a great deal yet.
David Leibowitz – Horizon Kinetics: When that decision is made and I presume from what you said it would be by the end of this calendar year or the first quarter of next year and I could be wrong but that was my impression. What would that mean in terms of incremental profit margins?
George Deese: We don’t deal that. But we feel like that will make things better and improve things. I just won’t be specific and to as you go down the road we would like to share more on it. But it’s all like our bread business had that worse as far as reciprocal baking and what that does for efficiencies and transportation and freshness of the market all that plays into our business model. But what we’re distinctly positively on that. We would never do anything to hurt quality of that brand. So, as we move looking at products that go into a core Flowers’ plant, it would be the same recipe, same because Tasty has a distinct aspect of their business on -- our quality is good too but sometimes quality versus quality can be different than taste and Tastykake is of distinct taste, so whatever we change we’ll make recipe of Tastykake in that quality of taste.
David Leibowitz – Horizon Kinetics: And nothing was said about putting the Tasty branded name on to bread or other non-cake products. Is there anything we can talk onto that respect?
George Deese: Allen, you want to address that one.
Allen Shiver: Yeah. The Tastykake brand is obviously a very much of a consumer icon brand and to be good stewards of that brand we need to make sure that we don’t do anything to hurt the brand. So, at this point, we don’t have any plans to extend the brand out of the cake category. I wouldn’t rule that out, but if we ever do that we would have enough consumer research under our belt to know that it would be beneficial for the brand and not hurt the brand. But at this point, we don’t have any plans to move Tasty pass the products that you currently see.
David Leibowitz – Horizon Kinetics: And just two last questions, question one, how many SKUs does Flowers have in all its brands today versus, let us say, 12 and 18 months ago and going forward, is that number too high, too low where you feel comfortable, et cetera?
George Deese: David, we always feel like we have too many. But what we’re trying to always please our customer and consumer. And SKUs is always under surveillance and trying to limit but at the same time taking our customer and consumer base. I’d say that on our normal DSD system that what would be new would be some of the additional SKUs of Tastykake. But I don’t classify that as overwhelming or over significant. Over time distributors find out what’s really selling in the market and over time they fine tune SKUs themselves because they don’t want anything that just sits. They want to see volume and they want to see it turn. So that decision is a company decision but it is also what’s best for consumer and customer, and more than anything our independent service helps weed out anything that’s not moving, and help on that SKU rational.
David Leibowitz – Horizon Kinetics: And the last question if I may, if we look at the company today by the core business units, the bread, warehouse, snack, etcetera, given the percentages that exist today and we’re going to annualize the Tasty number, looking forward 18, 24, 36 months, are we going to see major changes in those percentages given acquisitions, given growth patterns, etcetera?
George Deese: In my prepared remarks, I did say we’re looking to growth, so I wouldn’t speculate on which of those coming in. Well, we did say, when you’ve got a five-year target that’s public, that we are saying we are going to grow from 5% or 10% a year over the next five years and half of that basically is organically, and half -- roughly half of it is in acquisition pipeline.
David Leibowitz – Horizon Kinetics: Let me say thank you and wish you a great weekend.
George Deese: Thank you, David.
Operator: Thank you. Our last question is from the line of Tim Ramey of D.A. Davidson. Please state your question.
Tim Ramey – D.A. Davidson: Thanks for the follow-up.
George Deese: That’s okay.
Tim Ramey – D.A. Davidson: I just -- I wanted to kind of revisit the diesel question again, sorry for beating a dead horse, but I just did a quick look back and I think over the past four years your cumulative volume increase excluding acquisitions is 0.1% and you are forecasting flat for ‘12, that would bring five years of volume flat, excluding acquisitions. So, I mean, if volume is the thing that helps compensate route drivers for their rising diesel costs? How do we reconcile that?
Steve Kinsey: Tim, what I would say is, percentages in volume does not go through buying dollars, do you, it’s based on dollars, we’d -- our people are compensated based on dollar volume, dollar sales and we do study every quarter looking at our independent distributors on new fuel costs just that we will know versus our sales increases and we’re very comfortable with our position.
Tim Ramey – D.A. Davidson: But, I mean, haven’t the sales increases over that four-year period largely gone to compensate the company for input cost increases, I mean, something is got to give, I would think, right or am I wrong on that?
Steve Kinsey: The distributor discount, Tim, is calculated based off of the dollar increase and the wholesale price. So it’s not just volume related, so there is pricing or mix in the equation that also goes into the calculation for the compensation of them.
Tim Ramey – D.A. Davidson: I get that. But if the distributor compensation is driven off of flow through of price increase that’s all about recovering commodity costs, that’s margin pressure for you, right?
Steve Kinsey: And then one other point to think about, if you look at a single territory and the miles driven, it is barely from a cost perspective and a cost increase, individually will be fairly insignificant, one off, one on one. And with -- as George said, we have ways for the distributors to communicate back to the company and margin pressure from rising gas prices has not been at the top of their list.
Tim Ramey – D.A. Davidson: Got you. Okay. Thank you.
George Deese: Thanks Tim.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Mr. Deese for closing comments.
George Deese: Rob, thank you. I thank all of you for joining our call today and thank you for your continued interest and I thank our team for the outstanding job you do each and every day. And we look forward to seeing all the analysts in Philadelphia on March 20th. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. We thank you for your participation.